Operator: Good day ladies and gentlemen and welcome to the RF Industries Second Quarter Fiscal 2020 Financial Results Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session. As a reminder, this call is being recorded today, Thursday, June 11, 2020. At this time, I turn the conference over to Jim Byers with MKR Investor Relations. Please go ahead.
Jim Byers: Thank you, Operator. Good afternoon and welcome to RF Industries’ second quarter fiscal 2020 financial results conference call. With me on today's call are RF Industries’ President and CEO Rob Dawson; and Chief Financial Officer, Mark Turfler. Before I turn the call over to Rob and Mark, I'd like to cover a few quick items. This afternoon RF Industries issued a press release announcing its second quarter fiscal 2020 financial results. That release is available on the company's website at rfindustries.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived in the Investor Relations page of the Company's website. I want to remind everyone that during today's call management will make forward looking statements that involve risks and uncertainties. Please note that except for the historical statements, statements on this call today may constitute forward looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When use the words anticipate, belief, expect, intend future and other similar expressions identify forward-looking statements. These forward-looking statements reflect management's current views with respect to future events and financial performance and are subject to risks and uncertainties and actual results may differ materially from outcomes contained in any forward-looking statements. Factors that can cause these forward-looking statements differ from actual results include delays in development, marketing or sales of products and other risks and uncertainties discussed in the Company’s periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. RF Industries undertakes no obligation to update or revise any forward-looking statements. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present the reconciliation between the two for the periods reported in the release. And now I'll turn the call over to Rob Dawson, President and Chief Executive Officer. Rob?
Rob Dawson: Thank you, Todd. Good afternoon, everyone. And welcome to our second quarter fiscal 2020 earnings conference call. Thank you for joining today's call. I hope that all of you and your family and friends are staying safe and healthy. I'd like to start my comments by providing some detail around the significant challenges we experienced during the second quarter and how we responded. And then I’ll turn to what we're seeing now and why we think things are moving in the right direction. I don't want to dwell too much in the past of what has been a difficult operating environment for most businesses. But I do think it will be helpful to share our experiences in the quarter to better understand our results, and then get on to what's next as we continue to execute on our growth strategy. As an essential business, we remained open during our second quarter to serve and provide support to our customers, even as much of the world was shutting down. During this period of uncertainty, we continue to focus first and foremost on the health and safety of our employees, our customers and our suppliers. Protecting these resources is of the utmost importance and we've taken significant actions to ensure everyone's safety. On behalf of the board and management team, I want to first thank our employees for their fortitude, innovation and positive spirit in providing essential services to our customers with little interruption. Our production and support teams are the rock stars of this company and kept things moving throughout a difficult time. I can't thank them enough. We stated on our last earnings call in March, which occurred only days prior to the mandated stay-at-home orders that we were unsure of the full economic impact of the coronavirus and anticipated that it may present a short-term speed bump in our growth. My exact quote was that even with the situation around us potentially getting difficult, our balance sheet gives us flexibility to manage the business as well as weather any crazy storms like the one we're dealing with at the moment. In fact, the timing of this unfavorable economic event occurred right in the middle of our second quarter, which ended on April 30. Needless to say it had a significant impact on the results that we're reporting today. Lots of companies have released results through the March timeframe, but when you include April in the results, you definitely get a picture of how difficult the operating environment became. While we clearly saw our sales impacted in the quarter, even with the tough environment, we were able to deliver adjusted EBITDA of $176,000. It's also important to note that we came out of the quarter with substantially the same cash of roughly $14 million and overall financial position we have going into the quarter. All things considered we weathered it pretty well. Looking back on the quarter in February, we were executing well on our go-to-market plan and generating solid momentum, with good run rate business and a healthy pipeline in our project business. Through the early part of March, our results were on track with our outlook. However, as we moved further into March, and began operating during the stay-at-home period as an essential business, things became tougher and our operations were negatively impacted more on that in a moment. By mid March, as California and New York locks down, we saw many of our customers close up shop for a period of time, including some distributors, and by late March, we saw the momentum we were building drop off significantly. The challenges continued into April. What started with project delays worked its way through other areas of our business, including some customers in our OEM segment closing down for several weeks. Eventually, our generally healthy and diverse distribution business was affected as many of our distributors reduced orders or temporarily closed some locations. And we saw our project based business heavily impacted on numerous fronts starting with the obvious CapEx spending pauses, as well as with field workers encountering difficulty picking up materials, accessing buildings and venues, getting right of way to do installation and maintenance work. And finally, local zoning and site lease challenges made it difficult for tower and neutral host companies to execute on build plans. All of these factors contributed to most things getting delayed, with customers holding off on accepting shipments and pushing things out for some amount of time. It felt like the world stood still for a while. The project's business was basically missing in the final six to seven weeks of Q2, and the roughly 3 million plus in related sales that we expected in the quarter didn't happen. And that's just the project work since in addition our core run rate was slower than usual. As I said before, with a company of our current size, a few million dollars in revenue makes a big difference and in April is when we really saw the impact. Things were equally challenging from an internal operations perspective. While we quickly pivoted to a remote workforce, it's the nature of our business that 70% of our team our production and support staff that need to be physically onsite to build products. So as we remained open, we committed to additional measures to protect the safety of our employees, and continued with the best practices we had already implemented as outlined by the CDC and state governments. These measures included social distancing through staggered and multiple shifts, supplying personal protective equipment, additional cleaning supplies along with enhanced sanitation services, and being flexible with our employees who were impacted directly or indirectly related to the COVID-19 pandemic. As a result, we incurred roughly $50,000 of increased production and operating costs during the quarter. This included paying out small bonuses to some of our employees on the production and support teams as a thank you for their incredible efforts to show up onsite and ensure product continued to ship. And as the pandemic worsened, our operations changed even more over the course of several weeks as we began to further stagger shifts in our workforce to protect our employees. In March, we were separating our team into smaller groups, ultimately adopting multiple shifts under different timeframes, which negatively impacted the productivity of our teams, and ultimately caused a hit to our gross margins. By April, we unfortunately saw a direct impact with the illness on our few team members, particularly affecting our operations in the Northeast, in Connecticut and New York. There were several weeks where we were operating with a significantly reduced production team. Although we're considered an essential business, we were certainly not going to mandate work ahead of someone's health. All of these challenges obviously made for extremely difficult month in April, which had a significant negative impact on our quarter. We remained committed to keeping our people healthy and on the job as best we could. And I think we did a very good job weathering the storm, especially considering the type of business that we run. And while many things were out of our control, we focused on the things we could control, inventory levels, sales and customer service effort and taking care of each other. Most importantly, I'm very thankful that all of our teams made it through including healthy recoveries by all affected team members. Thankfully now, let's change gears and talk about what we're seeing currently, and where we're going as we continue to execute on our long-term growth plan. While May was challenging and felt a lot like April, as we move further into our current quarter, we're starting to see things improve, not in every aspect of our business. But we're certainly seeing signs of life around purchasing and a slight pickup in our core run rate business. We also continue to integrate the two acquisitions that we did last year. There's a balancing act here you have to acquire then you have to integrate and digest. It takes a while to bring these things in and get the momentum and we haven't yet seen the full potential of these two acquisitions. In fact, with a couple of quarters behind us since our acquisition of Telecom Supplier Schroff Technologies, we're starting to see increased activity and positive momentum around new business development in this division, and are beginning to build a nice pipeline of opportunities both for small cell and their thermal cooling solutions. As many of you know Schrofftech brought us two primary product offerings. The one we've spoken more about is a family of custom designed pole-ready 4G and 5G small cell integrated enclosures which provide improved aesthetics and reduce small cell installation time from days to hours. Schrofftech both expands our overall offer in the small cell bill of materials so that we can capitalize on the upcoming network densification opportunity and also diversifies our exposure to the carriers giving us additional buckets of money to tap into within the carrier CapEx spend. The second offer from Schrofftech is an energy efficient thermal cooling solution for wireless base stations and remote equipment shelters, which can decrease the telecom carriers’ air conditioning costs by up to 75%. You'll hear us use the term Direct Air Cooling or DAC when discussing opportunities for these solutions. So in addition to the substantial opportunity we see within small cell Schrofftech thermal cooling solutions enable us to offer a definitive value proposition centered around a better design and clear cost and energy savings, and is allowing us to initiate a different kind of sales conversation with a new set of customers. To give some color on the types of new opportunities we're seeing, let me walk through a few of them. We're currently engaged with a large North American carrier that's doing a trial of a potential cabinet retrofit using Schrofftech DAC thermal cooling solution, including remote monitoring, temperature regulation, and cooling of the equipment in the cabinet. This kind of solution is particularly relevant today with the shift to remote working there's a substantial increase in the demands placed on existing wireless and wireline infrastructures, including potential heat issues inside cabinets, enclosures and small buildings. The energy savings proposition that we can offer is a key driver behind our opportunity with this carrier, and we're seeing similar opportunities with other potential carrier customers as well. Second, we continue working with a large U.S. carrier on direct air cooling upgrade kits in several markets with expected monthly recurring business to continue and increase into calendar Q4. Third, we're in discussions with a large carrier to drive spec position for Schrofftech direct air cooling units in their cabinets. This could lead to several thousand sites over the next few years. Next, we have ongoing small sell concealment shroud opportunities in the Northeast with another large wireless carrier where we have a long standing relationship. And finally, we're actively beginning discussions with a few traditional wireline distributors, where we believe we have a relevant offer and market opportunity in the wireline carrier and rural telco space with MSOs and to push further into the smaller edge data centre segment. Each of these opportunities ranges from a few hundred thousand dollars to a few million dollars over multiple quarters. While some are still in early stages. Many of these are conversations that have started in the last three to four months, which makes us feel very positive on the long-term growth prospects for the Schrofftech business and reinforces the reason we did this acquisition. There are several more similar opportunities that I look forward to discussing in the future as we make progress in our sales efforts. We believe the significant opportunity we see around our direct air cooling solutions is only going to get bigger as any place where there's a cabinet small enclosure, large enclosure or small building that houses electronics is an opportunity for direct air cooling. And we're well positioned with a patented product line that's squarely focused on improved technology and a related energy savings. Looking ahead, while we experienced delays in a large number of capital projects across all segments in Q2, we're hopeful that this delayed business will reappear later this fiscal year and into 2021. The part we do know is the wireless spend will recover. As now more than ever, users are demanding more from their carriers which will drive the need for continued investment in their networks and their related infrastructure. We continue to feel very confident in how we're positioned to take advantage of this eventual infrastructure spent. In addition to the Schrofftech opportunities that I discussed earlier, we have several other opportunities at various stages in our pipeline. I want to reiterate that the multiple DAC and structured cabling projects that we have in play for a large carrier the several DAC projects for stadiums, large venues and large office buildings. The small cell densification deployments in metro areas, and the anticipated Tier-1 carrier spend have all seen delays due to CapEx shifts, building access issues or crew shortages, that we expect to be back on tracks soon. Also we continue to gain approvals for a quick turn fiber program with carriers and neutral host companies. Looking at Q3 it remains difficult to provide specific guidance in the near term due to the continued uncertainty around the impact of the coronavirus on our supply chain and on our customers. Having said that, we had already expected much of the wireless carrier spend to be loaded in the back half of our fiscal year. While that may now get pushed into our next fiscal year, we do believe we'll see a much more consistent spend going forward, as long as the world doesn't see repeated disruptions during that time. As you may have seen through our 8-K filing, we received funds under the paycheck protection program or VPP in early May, totaling $2.8 million. This funding we received has given us an opportunity to continue to work through these uncertain times with most of our team intact. With the funding, we've been able to keep our people employed with benefits, even as we clearly experienced reduced activity. We've also been able to take advantage during this period of lower activity to cross train our team and expand their skill sets so that we can continue – that as we continue to recover we'll be in a much stronger position in terms of our production capabilities. The PPP loan that we received is intended to be forgiven subject to any provisions of the CARES Act. Lastly, given the current challenging environment and continuing uncertainties of the pandemic, our Board of Directors has elected to suspend our quarterly dividend payment. We believe putting our dividend on hold is the right thing to do and that in the current environment these proceeds are better use to strengthen our business and seize on opportunities to regain some of the growth trajectory that we were generating prior to the pandemic. Specifically, we have accelerated our investment and our business generation resources and activities related to the Schrofftech solutions that I mentioned earlier. And to further diversify our relationships and the carrier ecosystem. We also continue to upgrade talent and look forward to continuing to streamline our organization. Additionally, we remain squarely focused on delivering shareholder value. And as we've consistently said, consolidation probably makes sense in our industry, like any responsible company, we're always looking at value enhancing opportunities. We're confident in the long-term prospects of our business and remain focused on our growth plan to drive demand creation and expand our participation into different buckets of CapEx spent. The Board and leadership team are confident that with our solid financial standings, we remain well positioned to successfully navigate through this challenging operating environment and emerge a stronger company. We will be flexible and ready to react to anything thrown at us since we expect things to continue to be fundamentally different and certainly erratic at times. With that, I'll now turn the call over to Mark for detailed review and discussion of the financial results for the quarter. Mark?
Mark Turfler: Thank you, Robin. Good afternoon, everyone. Jumping right in our net sales in the second quarter were $10.4 million, a decrease of 23.7% or $3.2 million compared to $13.6 million in the second quarter of fiscal 2019. The year-over-year decrease in net sales reflects a decrease in our project-based business, resulting from the slowdown in carrier spending, as well as the other factors that Rob just described. This decrease was partially offset by additional sales contributed by our newly acquired subsidiaries Schrofftech when we did not own in fiscal 2019 and C Enterprises whose prior year quarter results were for a six-week period. At quarter end, our backlog stood at $5.7 million up from the $5 million number and our prior quarter end. The bulk of this increase came from our Schrofftech division, which Rob just spoke about. Gross profit for the second quarter was $2.6 million compared to $4.1 million in the second quarter last year. Gross margins were 25% of net sales, compared to 30% of net sales in the second quarter a year ago. The decline in margins was primarily due to lower sales in our project-based business that resulted in lower coverage of fixed production costs, product mix at the Custom Cabling segment and increase sales at the C Enterprises subsidiary, whose gross margins are lower than the blended margins of our other divisions. Total operating expenses increased $100,000 to $2.8 million or 27% of net sales compared to $2.7 million or 20% of net sales in the second quarter last year. This increase was primarily due to the inclusion of newly acquired Schrofftech's operating expense in a full quarter for C Enterprises. This increase was partially offset by a $300,000 decrease in the valuation of Schrofftech's earn-out liability. Excluding the impact of Schrofftech’s additional operating expenses, second quarter operating expenses declined approximately $700,000 when compared to the second quarter last year. Also included in total operating expenses for the second quarter for the following three expense assignments. First, $173,000 of amortization expense an increase of $104,000 over last year as a result of the Schrofftech acquisition. Secondly, $97,000 in stock-based compensation expense, an increase of $19,000 over the second quarter last year due in part to one-time compensation costs related to our recently hired Chief Revenue Officer. And lastly approximately $50,000 of increased production and operating costs for supplies, sanitation services and other costs to keep our employees safe related to COVID-19 pandemic. Net loss for the second quarter was $184,000 or $0.02 per diluted share, compared to net income of $1.1 million or $0.11 per diluted share in the second quarter last year. We are also providing some non-GAAP financial measures including non-GAAP net income, non-GAAP earnings per share and adjusted EBITDA. Our earnings press release includes a reconciliation between the GAAP and non-GAAP reporting. We believe the non-GAAP financial measures provides useful information to investors with which to analyze our operating trends and performance.  Non-GAAP net loss for the second quarter was $73,000 or $0.01 per diluted share compared to non-GAAP net income of $1.2 million or $0.13 per diluted share in the second quarter last year. Non-GAAP net loss for the second quarter of fiscal 2020 excluded $97,000 in stock-based compensation expense. Adjusted EBITDA for the second quarter of fiscal 2020 was a positive $176,000 compared to $1.7 million in the second quarter last year. Adjusted EBITDA for the second quarter excluded $97,000 of stock-based compensation expense and $173,000 of amortization expense, which increased $104,000 primarily due to the impact of acquiring Schrofftech. Adjusted EBITDA excluded tax expense of $3,000 compared to a $315,000 tax expense in the second quarter last year. With our financial position of cash and cash equivalents of $14.1 million, working capital of $23.5 million, and a current ratio of 5.1-to-1 at the end of the second quarter, we remain well positioned to navigate through this challenging operating environment and emerge a stronger company. That concludes my discussion. I would now like to open the floor to questions. Operator, we're ready to take our first question.
Operator: [Operator Instructions] We'll take our first question from Josh Nichols with B. Riley. Please go ahead.
Josh Nichols: I know you mentioned there's clearly been some revenue headwinds for the quarter as most companies have kind of been experiencing in the current environment, no big surprise there. But one thing I did want to mention is like - the company's historically and this quarter as well done a very good job about managing the bottom line with this variable cost structure. We’re still generating positive EBITDA like despite the revenue headwinds. How should we think about the OpEx expenses going forward as we look at back half of this fiscal year and the company's commitment to kind of getting back to being consistently profitable?
Rob Dawson: Yes, thanks, Josh. Appreciate the question it's a good one, and it's a hot topic for us obviously at the moment. So I think I mean to your point, we were looking for some positives in the quarter as obviously, there was a lot of challenges and I hate putting together a commentary around how difficult things were, but the ability for us to kind of weather that storm was something we knew we could do, and we've still got a chance to keep doing that but we've got the right to ship on a few expense items. I think the - you know I mentioned the PPP loan that we took at the after Q2 ended. That's allowed us to keep our team generally intact and try to get through what's continuing to be a difficult operating environment. But that money is meant to get you through eight weeks roughly and make sure that everyone's intact, which we've done, our intent is that will be forgiven. We're using that for the correct things. And our expectation is that loan will be forgiven in a timeframe that the CARES Act has set out. So beyond that, I think if we returned to growth levels and sort of see the revenue return that we saw disappear during the quarter I think it gives us an opportunity to keep our team generally intact from an expense load. If we don't see that we'll have to make some adjustments. We've already started to review that pretty aggressively. The one big misnomer that kind of happened in Q2 is our gross margins get hit in a weird way when production when the productivity of our production team falls off. So we need to make sure those folks are able to keep working and we have to make sure we're keeping their schedules full. If that were to change and we're just going to have to write that shift to get it back to where we have a little more in variable and less in the fixed cost side. We built the engine over the last couple of years around the growth numbers that we were seeing. And as I mentioned, getting into even to early March, still looked like we were going to be okay from that, and then certainly it got real quiet and we're there for a while. And so there's certainly an opportunity for us to shore up the expense line, rely a little more on variable and outsource pre-finishing and outsource labor in places. Additionally though, I think we also need to make sure we're investing in the continued growth of our Schrofftech investment and generally the carrier space. So I think that there's a balancing act here of - how many production team members do we need versus making sure we keep our business generation engine intact and even potentially accelerate. I'm not great at sitting still and waiting out a global pandemic, we've probably generally done that for a few months. But we're kind of at a point where to your question we need to shore up some of the expense line, which we're absolutely doing. At the same time, we've got an opportunity to come out of this in a strong way as the spending gets a little more consistent.
Josh Nichols: Thanks for the additional detail on that it’s helpful. And then I did want to ask - I know you mentioned that you're in a interesting situation because you were impacted for a large chunk of the quarter in April, quarter end with some better visibility than what some other players who reported March may have been talking about. You mentioned that you've been seeing a pickup in activity. Could you provide any type of color as far as broadly what you're looking for at least for the current quarter? Is it fair to kind of assume I guess what I'm getting at is that 2Q may be like a revenue trough is what we may see at least based on the current trajectory?
Rob Dawson: Yes, so it's hard to say, I think that's I'd love to give a really definitive answer around some even light guidance for the quarter. I think, when we look at May, May didn't look drastically different than what we saw in April timeframe. You know April, had a few pockets in there where we saw some okay things, some emergency orders and some sort of unexpected new hospitals popping up and things that we were able to participate in which was nice. I think really, what we're starting to seeing now in June is the world seems to be getting back to some purchasing patterns that are more consistent that we understand. We're also hearing the projects that I mentioned a whole bunch of that were kind of put on hold or pushed out. We're starting to hear chatter about timeframes and when they'll be - when customers will be releasing various budgets and expectation of installations. So it's hard for me to know is that going to happen. We're halfway through our third quarter, roughly now. And I think we're in a place where we're starting to see it open more. And I expect to, I'm hopeful that June will be better than what May was. And this is normally a time of year where we've seen acceleration for the outdoor build season in a lot of our wireless business. We've got a nice pipeline of stuff. I can't be certain that all of that is going to hit in the third quarter. So it's hard for me to specifically define it. If we were to have a tough Q3, I think Q4 would be a meaningful recovery over that with what we see at this point. So I know that's not a direct answer to your question. The reason it's tough I think, in the amount of our business we now do and fast turn can change in a day. We had weeks where it was like, man is this going to recover in a meaningful timeframe. And then the next day, here comes the big kind of fast turn orders that had to go out in a day or two. So we have that dynamic, plus these projects just sitting on the sidelines. I'd love to say that in July, we'll start to see those accelerate, but for some reason that were to happen into end of the August timeframe, then that would miss our third quarter. So I don't know how to give you an exact number but I don't expect Q3 to be an amazing quarter. But I think that's part of the reason why we did go in and request and receive the PPP funds, because in that timeframe, it was really hard to tell what was going to happen next and once I started seeing the distribution business affected, that had been pretty steady. And it's been accelerating. I mean, our Cable and Connectors segment grew 20% in Q2 over Q1. And that's with a massive drop-off in the final month. And so seeing those start to come back is helpful. But those aren't the huge dollars that will drop and allow us to kind of hit the big growth numbers.
Josh Nichols: Okay. And then what are you seeing as far as 5G spend? Clearly, I mean there was a big push out at least in the first calendar quarter. Is that something that you're just hearing a little bit more chatter on? Or what's your guess that that's going to be more like calendar second half and into 2021? When you’re going to start seeing some of these larger orders potentially flow through.
Rob Dawson: Yes, so I haven't talked to carriers or distributors, other manufacturers that are partners with ours or peers of ours. People are kind of seeing the same thing. It's different carrier by carrier on what the expectation is, but I think the things that we are expected to start around now. I mean, typically, this is the time of year, or you get into late spring, early summer is when you would see building activities pick-up specifically, especially on outdoor kinds of things. I think, T-Mobile has come out and been pretty aggressive. Although I know there's still right away and zoning issues at times that get in the way of that, Verizon, AT&T have been, I would say a little more passive, at least from what we've seen and cautious and smart about it, which I think we believe is pushing out those projects. And some of that increased spend a little further this year, we already expected this year to be back half loaded from a project perspective for us, which relates to a lot of that CapEx, I think if I'm a betting man, I'm going to say, it'll start to pick-up later this year. But I think end of 2021 is where I would expect there to be a larger sort of increase in that spends that can also change very quickly. But I think to your earlier point, when you start looking at April results for a lot of businesses and most companies released through March and pulled guidance and said, hey, we're not sure what's going to happen next. Having operated through April, it was an interesting time and caused a whole bunch of chaos. And I think that's when we started seeing CapEx get kind of held-off until they were not going to, we're not going to do any projects. We're not going to pull-in any sites. We're not going to take any inventory because we have no one to receive it like those are some of the challenges that are more logistics, you got to have people physically able to receive materials and then go out onsite and do the work. So I'm expecting as states start to reopen, we're certainly hearing the chatter increase, which leads me to believe it's towards the end of certainly second half calendar, maybe a little further weighted towards the end of calendar Q3, end of Q4 and then 2021, I would think we're going to have to see that spend because the demand is still there.
Josh Nichols: And then just I think we discussed briefly on like the gross margin profile. How should we be thinking about the gross margin going forward as far as the product mix between what you have with like custom cables, cables and RF connectors and how you think that's going to trend based upon what's in the pipeline today?
Rob Dawson: Yes, so I think the better we do in the Schrofftech business, that'll help us. I mean, what we’ve said in the past is their margin profile is consistent and considerably better than what we have across the rest of our business. So I think I'm encouraged for multiple reasons on that business, but the margin profile will definitely help, the margins we saw this during Q2 were directly affected more by challenges of productivity where you got some overhead built into your production teams and yet you're not able to pump materials out in the same way, I think generally remedied most of those things around the social distancing setup and otherwise, and our margins without that our pricing and our margins on that side kind of stayed the same. It was really more about the variability of our teams and keeping those folks in place. So I expected after Q1, that was kind of the trough in our margins. They obviously came down in Q2, but it was more about productivity than anything else, I think going forward, the better performance we see from our RF business and from the Schrofftech business and some recovery in the custom cable business, and we were really impacted in custom cable, both from an order perspective, but also those two operations where that business primarily happens in Connecticut, in New York were both heavily impacted personnel wise. So I think we still have that 30% kind of low-30s goal out there. And from a gross margin perspective, I think it's very attainable. It's where we should be and we're expecting as the Schrofftech business picks up that that will start to help us pull that margin higher.
Josh Nichols: And then last question for me, good to see that there's a number of opportunities in the pipeline, but the recent acquisition of Schroff, how much revenue contribution was there from that acquisition just so I could get a little bit better apples-to-apples comparison and to like, given the company's balance sheet and then a lot of these smaller competitors are probably in a tough operating environment, I would assume but maybe without your financial wherewithal, would you consider this to be like kind of a target rich environment and in a position where you might be looking to do an acquisition into over the next couple of quarters?
Rob Dawson: Yes, so on the first part, Schrofftech they had a light quarter largely we had one specific project that we expected to ship out that, that didn't go but they did just $1.2 million maybe in sales, something like that in the second quarter which was generally consistent with what they did in the first quarter. That's not what we expect that business to be short-term or long-term, frankly. Yes, that's we expect a growth engine there. But there was a definite impact on the small cell side of being able to get out and do a lot of that work because just the sheer definition of small cell is going in a densely populated area. Well, that made it really tough in places like New York and New Jersey where we have meaningful business and that space came to a halt for obvious reasons. So we expect their contribution to certainly increase over time. Even with that as a profitable business, they do a good job. And that teams doing a nice job of helping us find these additional opportunities. To your second question around M&A, so we have a bunch of conversations going on leading into the world shutting down. And some of those have continued, I think sellers at the moment are a little skittish on, are they going to get real valuations? And do they feel like it's a fair time to do this? With that said, I think as time goes on, it'll get a little easier to understand new levels of revenue or profitability or difficulty in operating. And I do think there will be some, some decent targets, I'm still getting a few opportunities a week that come across my desk from a variety of sources. I think the thing that we just need to be cautious of is not getting lowered into a bunch of little acquisitions that would be very difficult to do. Anyway, that's a lot of work for a small return in an environment like today, can you physically get out, see an operation, get involved and do the things you need to do to get involved. So I'm cautious but I think over the next quarter or so absolutely interested in going that direction and finding some of those targets. I think I've already got some in our conversations. We just need to let a little time go by and make sure that what we're seeing is realistic.
Operator: [Operator Instructions] We'll take our next question from Hal Granger with Great Quarter Research. Please go ahead.
Hal Granger: I wanted to congratulate you guys in a very, very difficult quarter on having positive EBITDA and a loss of only $0.02 per share and maintaining your super strong balance sheet which these days is more and more important. At the same time is taking care of your employees and your customers. So that's, I think you guys did a good job with all that. So congratulations.
Rob Dawson: Thank you.
Hal Granger: Housekeeping item to start with, right of use asset, does that have to do with Schrofftech?
Mark Turfler: It’s a lease accounting, it's the new lease accounting that we have to go through on the way we handle that from a balance sheet perspective. So that's what you're seeing there.
Hal Granger: Right. Okay, so that's independent of Schrofftech?
Mark Turfler: It is, yes.
Hal Granger: Okay. Can you review so the dividends which I think it's fine that you guys focus more on operations and growth and not so much on dividend, so I agree with the Board's decision there. Can you give some sense about what the boards or your feeling might be regarding dividends in the future?
Mark Turfler: Yes, so it's something that, we obviously review every quarter, the company has had a long standing dividend in place going back 10 years, something like that or close to it. And it's been a nice way, I think to provide a return. That has become a 1%, 1.5% kind of yield over the course of the last little while, as we've seen the current stock position. So we still review it quarterly. This was a tough conversation. And I think there's, there's reasons why I'm certain there's some folks that are in our stock that appreciated the dividend. There's a whole separate set that wants the growth focus. And I think the discussion in this case really came down to something that I've said publicly for a few years, which is if we have a better use of capital, I think we would rather deploy that around growth and one of the things that we've done and are in the process of doing a little more, I mentioned this is we can't, we can't just sit back and hold our breath and wait for everything to get better from a sales and business generation perspective. I think that's for us, that's a dangerous game to play. I mean you saw the impact in Q2 of some projects being pushed out. Fine, I don't love it. But it's the way things worked out. There's a chance for us to double down on some of these newer pieces of technologies Schrofftech and otherwise that we've invested in. And I think there's some business generation resources that we need to continue investing in and adding to the business as well as upgrading talent overall, and it's not a huge expense. But when you look at it on an annual basis, paying out $750,000 or $800,000 in dividend payments, and then you look back on the last couple of years and the M&A that we've done. We've gotten some affordable and fair deals on the M&A side. We've added some good members to the team. I think investing in that now is a great time to do it with the intent of coming out of whatever this thing is in a stronger fashion with the right people in the right seats, we still need to streamline the operations in some spots to some earlier comments that I made. But I think the better use of that capital is to both invest in our team in the right spots, as well as looking for some potentially good M&A that will likely present itself over the next few quarters.
Hal Granger: Can I ask you about Cables United, so when I'm looking at your financials, you talked about the $700,000 decline in expenses year-over-year. Some of that, I imagine has to be employees somewhere. And then you mentioned that unfortunately Cables United in Connecticut and New York was affected by Coronavirus, when I'm looking at that, I'm kind of reading in that that a lot of that $700,000 had to do with employee expenses at Cables United. And now after you got your PPP loan, you have you've hired back a lot of those employees. Is that a correct read or can you give us some color on what was going on there?
Rob Dawson: Yes, so you're partially right. I think that there's kind of two big things in there. One is, we kept our entire team employed with pay and benefits through this entire process. And that was something that I said to our leadership team going back to early March timeframe, when it was pretty clear, we were starting to see some weirdness. You got into the third week of March. And it was important to me that our team had some comfort that they were saying, if they were going to have benefits, and the last thing they needed was to worry about that changing. And we didn't really know what we were walking into. I mean, when we had our second, I mean our first quarter conference call back on March 12. That that night was the night we found out that schools were closing in California. The next Thursday is when California, New York sort of subsequently one after another shutdown. So we made some decisions at that point to keep our team in seats with pay, with benefits to keep them okay. Now, productivity wise, obviously, as I talked about, we had some tough times. But the majority of what you're seeing there, we obviously had lower commissions and a few less, a few less hours being worth less over time, you start adding all that up, and it can get to a pretty decent sized number, especially when you're comparing it to prior-year results that were significantly higher. So you've kind of got a mix of some people costs in there, as well as just some lower expense loads, but we purposely did not go in and take out a bunch of folks in that business.
Hal Granger: I'm sure your employees appreciate that. And it pays off in the long run. Let me end my questions with the project base carrier spending. It seems to me that that's something that likely will happen. It's not as you mentioned, it's not clear when the timing is going to be. But is it reasonable, they'll be pretty confident that the bulk of that carrier spend which would have happened this calendar year will happen in the future at some point, hopefully next calendar year if it's not, hopefully this calendar year, but if not next?
Rob Dawson: Yes, so I think our expectation is that most of that should come back over time. The one uncomfortable part is, the more time that goes by with restrictions of travel and locally showing up in certain places. It makes it harder, I think to go through RFP or vendor selection processes and some of the things, it's carriers may be incentivized to be less creative about the number of providers that they use. We've been on a trajectory where we've been breaking into new things, sort of consistently over the course of the last few years and seeing some upside from that both in real time and then future looking. And the more time that goes by and the harder it is to keep those relationships, building and growing and getting your name into new places. That's my one concern around it from a positioning perspective, I think the spend is going to be there. It's definitely difficult to find those opportunities to displace the gigantic companies that might be in there now which we've seen some success on in the past. So I'm comfortable saying, I think the spend is coming back. I think we're still positioned very, very well. I'm hopeful that we keep getting the opportunities to play in that space the way we have even with some of the kind of logistical challenges that are being thrown at us.
Operator:
, :
Unidentified Analyst: Hello, well, thanks for taking my question. And my questions was already answered. Good luck, thanks.
Rob Dawson: Okay, thanks Chris.
Operator: Thank you. [Operator Instructions] And at this time, we have no further questions, I would like to turn the conference back to your speakers for any additional or closing remarks.
Rob Dawson: Thank you. In closing, I'm incredibly proud of our team and on behalf of the board and management team, I would again like to thank our employees for their creativity, positive spirits and resilience during these very challenging times. Thanks everyone for your interest in support of RF Industries. I look forward to reporting our fiscal 2020 third quarter results in September. Hopefully, speaking with some of you at our Virtual Investor Conference presentations before then, thanks for joining our call. Please stay safe. Have a great day. And now you can take a breath. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference. We appreciate your participation. You may now disconnect.